William Maze: Hi, everyone, and welcome to Xtract One's Live First Quarter Earnings Call for Fiscal 2024. This is Will Maze from RB Milestone Group. For those of you who aren't already aware, Xtract One Technologies is a disruptor in the stadium and public space security industry with their unobtrusive artificial intelligence-driven weapons and threat detection system. The Company's shares are traded on the TSX under the symbol XTRA and on the OTCQX under the symbol XTRAF. Joining us today is the Company's CEO and Director, Peter Evans; and CFO, Karen Hersh. Today's earnings call will include a discussion about the state of the business, quarterly financial results and some of Xtract One's recent milestones. This will be followed by a question-and-answer session based on the questions investors have sent in prior to and during the webcast. This call is being recorded, and will be available on the Company's website after the earnings call. Before we start today's call, I'd like to note that all dollars are in Canadian unless otherwise specified. Today's call contains supplementary financial measures. These measures do not have any standardized meaning prescribed under IFRS and are, therefore, may not be comparable to similar measures presented by other reporting issuers. These supplementary financial measures are defined within the Company's filed management discussions and analysis. Today's call may also contain forward-looking statements that are subject to risks and uncertainties that may cause actual results, performance or developments to differ materially from those contained in the statements and are not guarantees of future performance of the Company. No assurances can be given that any of the events anticipated by forward-looking statements will occur or if they do occur, what benefits the Company will obtain from them. Also, some risks and uncertainties may be out of control of the Company. Xtract One has a full disclaimer contained in their presentation. Today's call should be reviewed, along with the Company's interim condensed financial statements, management's discussion and analysis and earnings press release issued today, December 07, 2023, and is available on the Company's website and its SEDAR+ profile. Lastly, RBMG is not a registered investment adviser or broker-dealer. For more information, please visit rbmilestone.com. And now it is my pleasure to introduce Mr. Peter Evans, Chief Executive Officer of Xtract One. Peter, the stage is yours.
Peter Evans: Thank you so much Will, and thank you to everyone for joining us today and participating in this call. I'm really looking forward to sharing more detail about our first quarter results, which was an excellent start to the year and a great jumpstart on so many more great things that will be happening. Hopefully, our investors saw the business update that we provided and shared in November, which outlines some of the preliminary results for the Q1. We've received immense interest from our investor base about this quarter, particularly following a very successful year last year and the state of the business considering that strong results we shared on our last update in October. So we decided to share a few of the metrics early those that were most frequently requested by investors. For those of you who did not see that business update, Karen and I will reiterate many of those points today and dive into more details during this call. Let's get started and let's jump right in. There are a couple of key highlights I'd like to bring to the table first. The first is the business momentum overall. This was another record year for the company by every measure: revenue, bookings, contractual backlog, installed systems, operating expenses, cash flow, named contracts, expansion in different market segments, we experienced a significant year-over-year and quarter-over-quarter improvements in this first quarter. We had a record number of deployments during Q1, which resulted in an 82% increase in revenue for our platform operating segment compared to the prior quarter Q4 of 2023. Simultaneously, we posted our strongest quarter for new bookings in the history of the company by adding almost $10 million of new total contract value into our backlog of sales commitments. All-in-all, we are very excited with a continued growth and the trajectory that we are on as a company and expect further continuation of that trajectory and we will continue to focus on beta setting and beating new milestones every quarter going forward. The second key area that is a highlight for me is around continued market expansion. While our primary focus started with and we were hyper-focused on sports and live entertainment, those industries where we've onboarded key strategic partners, we also continue to expand into other markets where we are experiencing very high growth rates for customer adoption. The market was not willing to wait for us. Segments such as healthcare, hospitals, schools, and others pulled us into their market segment much faster than originally planned, and we are pleased to be pulled into those segments that fast. We are seeing the same time that we are providing the same benefits of high quality service to our customers and the benefits of a high performing security solution and the benefits that we can deliver to those segments through an Xtract One SmartGateway. Later on, I'm going to talk more about our fastest-growing market verticals and I'm going to dig deeper into some of the results that we are experiencing due to the high customer satisfaction that is perpetuating our business into those market segments. The other key area that I'd like to highlight is our focus on scale. I want to remind our investors that we are still focused on efficiently scaling the business. Last year, we made significant progress in streamlining how we operate and reduced our operating expenses by about 6% year-over-year, while continuing to see the rapid growth in bookings and conversion to revenue. This year, we are continuing our drive on those efficiencies across the entire business with focus on cost, effectively scaling our manufacturing, installation and our ongoing customer support. I'm very pleased to report that we had a record quarter for those deployments, including successful deployments at several marquee venues, including locations like the Sphere in Las Vegas, Madison Square Garden, Radio City Music Hall, the Beacon Theatre amongst others. And we've proven to ourselves that we can continue to ramp our ability to perform large scale deployments at a faster pace than we were able to achieve previously. We are able to do this also incredibly cost effectively, which is resulting in market-leading gross profit. Throughout the year, you are going to hear more from Karen and myself as we talk about how we continue to scale the business, and continue to grow overall. Today, Karen is going to dive more specifically into our efforts to date and how they've impacted the very successful performance we've seen in Q1. We've got a lot to cover, so I'm going to jump right in a little bit more. In the first quarter of 2024, it was a historic period for the company. I mentioned earlier that we improved on several KPIs across almost every function in the business. We are very dialed in and very focused on scaling that business. Here we can see a chart of the total contract value of bookings over the course of the past several periods. Looking at this demonstrates how and provides evidence on our growth trajectory and it paints a picture of how the company is changing and growing quarter-over-quarter. I'm very pleased to be reporting the total contract value of the new bookings. In Q1, it was $9.6 million. Since we first entered into commercialization for our gateway products, we booked over $27 million of business, approximately which one-third of came from the past quarter alone. Not only do we have more customers, but they are spread across the United States where we have physical presence now in over 40% of the country and we continue to extend our footprint in order to protect our fans, patrons, office staff, teachers and healthcare professionals each and every single day. We also continue to support both upfront and purchase models for our solutions as well as a subscription model for our customers. So far, we've found that about 65% of our customers are opting for our subscription arrangement. As we continue to expand into new segments, we are starting to see some trends within each customer segments and the buying patterns that are specific for each type of customer. For instance, it's been our experience that so far most of the sports and live entertainment customers find value in a multi-year subscription model. In contrast to this, customers in other markets such as schools, healthcare and the public sector are finding that an upfront purchase model with recurring annual maintenance best fits their organizational structure and their financial profiles. This can often be offset with one-time government funding programs as an example. These trends are not true for every single customer, but generally for each segment. These are the patterns we are starting to see with those customers we've seen today. In all cases, we are very happy to offer customers both models so that we can fit their best business model and be the customer that fits and aligns our solutions to how they wish to do business. As we continue to scale the business and expand our presence both locally and internationally, we will continue to take a pragmatic and judicious approach to growth. We talked about this in a prior call and with a press release earlier. We are being very selective about the markets and customers we engage and to focus our efforts on those opportunities that are highly accretive and very profitable to our business plans. The demand for our solutions continues to accelerate as we continue to see tremendous interest within sports and entertainment sectors, and we continue to welcome new customers like the KC Current that we recently announced. We also continue to expand into multiple market verticals as the interest from those markets is putting a great pull on us and causing customer adoption of frictionless technology much faster than we'd originally planned. We are now actively pursuing about a $40 billion TAM, and so we are seeing the mix of our sales pipeline shift meaningfully. Now about 40% to 50% of all our qualified pipeline of opportunities and our revenues are coming outside that primary and initial market that we focused on sports and live entertainment. In this quarter alone, the majority of our contracts we announced publicly were actually in the secondary markets or secondary market segments. So I think it's safe to say that they are no longer secondary to our strategy. During the quarter, we expand our presence significantly within the healthcare community, which along with education, is now becoming one of our fastest-growing market segments and market verticals. At the start of Q1, we announced that we had been chosen by the U.S. Department of Veteran Affairs Medical Centers in Virginia, and we continue to expand our engagements with the VA. We've also been selected to secure organizations like Community Health Network, which is one of the largest healthcare organizations in the U.S. Midwest. With more than 200 sites of care – excuse me, throughout Central Indiana, Community Healthcare focused on putting the needs of its patients first and ensuring that they are providing patients with exceptional healthcare services. Xtract One is proud to partner with these organizations, ensure a safe environment for patients, visitors, and the critical healthcare professionals who are now demanding that they be secured and safe in their workplace environments. Across the United States, healthcare professionals have expressed that they are no longer feel safe at work, and you can see this in instances like the strike that occurred in New York earlier this year and multiple other situations throughout the year. In the past year, various regions across the country have seen those healthcare professionals speak out publicly and even striking against their employers as they demand a much safer workplace environment. Healthcare professionals deserve to feel safe at work so they can focus on providing the best care possible for their patients, and we are there to work with them to ensure we deliver that outcome. We are engaging with more and more of these healthcare providers on a daily and weekly basis and look forward to helping them create a warm and welcoming environment that increases safety for all patients and employees. At the same time, we are starting to tap into $135 billion TAM that we are seeing within the global economy. We've adopted a very pragmatic approach to growth and global expansion based on winning large critical accounts and using those accounts as they anchor upon which to build and to fund profitable growth in that region through those anchor accounts. So from day one, those wins and the expansion of those marketplace is highly profitable and grows our profitability as a business as opposed to being a net negative until we reach a certain critical mass. With a recently announced global contracts, we've done just that and as an example, one of these contracts totaling about US$5.1 million is a multi-phase agreement that'll deploy over a period of time with a very large global entertainment organization that will provide the company with a recurring revenue during the iteration of the three-year contract and potentially afterwards and introduces us into other organizations that they have throughout the world. This contract is well underway and we expect it will lead to further contracts with the same customer and at other global venues and with customers of a similar caliber in a similar sort of industry. We are going to continue to take a very pragmatic and judicious approach to growth. You'll hear me say this many, many times, being very selective about the markets and the customers we engage and ensuring that we see the business as highly accretive to our business plans and profitability drive towards cash flow breakeven. While it's very satisfying to welcome new customer advocates to our solution, it's also been very gratifying to me personally to seeing existing customers expanding their orders with us and to increase our presence in their facilities. In this quarter alone, over 20% of the contracted value of new bookings came from existing customers who increased their prior orders with us and added additional systems for additional venues or expansion within existing venues. These customers were across multiple different market verticals and demonstrate two really important factors that is driving our success right now. First, as we've said in the past, that we focus on providing each customer with a high degree of service and the outcome they expect. No surprises. This is security and we take it seriously. We want to ensure that the products that are operating effectively in the environment and we are willing to provide enhanced levels of support to the customers to ensure that they do so. Secondly, the fact that the customers in multiple market verticals have expanded their orders reaffirms that our SmartGateway solution has a flexibility to protect very different environments with very different requirements in very effective manner. The result of having very happy customers from multiple markets is that those customers become very strong advocates of our solutions and recommend Xtract One to others in their industry.  Most of the industries we play have very tight organizations and networks of customer, security officers – Chief Security Officers. Those Chief Security Officers share knowledge, share best practices, and share very positive experiences, and that's driving our pipeline significantly. These advocates fueled by genuine satisfaction not only attract new customers through that word of mouth and those word of mouth recommendations, they also serve as authentic testimonials that resonate with potential customers in similar markets. Harnessing the power of these advocates is creating a significant ripple effect and resulting in some of the accelerated growth that we've seen and establishing trust and credibility in our solution that significantly includes as the decision-making processes of other prospective customers. We continue to cultivate and leverage these advocate driven dynamics that is continuing to foster brand loyalty to the value that we can deliver to them. This is laying the foundation for sustainable and repeatable growth and the success we are seeing and the snowball effect or the flywheel effect that we are now seeing in multiple market segments. Now, we've established these referenceable accounts in each market segment. The SmartGateway has now become up with the most of cost effective solution to detect weapons as validated by third parties such as the TSA. With a very simple out-of-the-box experience, we are now focused on how we scale the business and we are constantly shifting our go-to-market mix to balance of both direct and partner sales. Now that we have the referenceability and we have that out-of-the-box experience with a SmartGateway solution. The channel is now providing us cost-effective scale further in both selling, installing and supporting customers as a force multiplier to our growth. At this point, I'm going to turn it over to Karen to take the investors through the specific details of our financial results for the year and then we'll move into some Q&A.
Karen Hersh: Perfect. Thanks, Peter. This has been another incredibly busy quarter and there is several financial highlights that I want to speak about in more detail today. But first, however, I think it's important to note some changes that were made in the presentation of our financial statements this quarter. Many of you have noticed that we are now presenting cost of revenue and gross profit numbers and have simplified the presentation of our operating expenses into three key functional areas being selling and marketing, research and development and general and administrative. Our financial statements also provide more disclosure around the nature of expenses, which are included in each of the operating expense lines. We made these changes to provide more relevant financial information for investors and other users of the financial statements and also to facilitate benchmarking of our financial performance relative to our peers. Now let's talk about the record growth and revenue generated from our platform operating segment. Revenue from the platform segment was approximately $3 million for the quarter, which is an increase of 82% from the prior quarter, or over 600% more than the revenue recognized in the same period last year. By way of reference for all of fiscal 2023, the platform operating segment generated $3.6 million of revenue. This means that because that during the first quarter of fiscal 2024, we almost surpassed all of last year's revenue for the platform business unit, demonstrating the strong growth trajectory we are on and is a testament to the hard work and dedication of our team. Of the $3 million of revenue recognized during the quarter from the platform business, approximately 30% of it was recurring revenue. This is primarily because we delivered some systems first from several large upfront purchase agreements during the quarter. While a large portion of these contracts are recognized to revenue once deployment is completed, there is still substantial recurring revenue pertaining and associated with the ongoing support and maintenance of these contracts. This, however, doesn't tell the full picture. If we look at the total contract value of all our contracts in aggregate, which includes both the revenue and the contractual backlog, we see that approximately 65% of the total contract value relates to recurring revenue versus one-time revenue. This is consistent with what Peter had mentioned earlier in the presentation. Revenue from the Xtract operating segment was about $120,000 for the quarter, which is down from $220,000 for the same period last year. This is primarily due to the unprecedented demand for our platform solution and we expect that this operating segment will continue to increase support of and focus on our platform business on a go-forward basis. In Q1, we reported healthy gross margin of about 67% of which is a combination of our product, support, subscription and professional services revenue and the associated costs. The year-over-year improvements in our gross profit margins partially relate to a large deployment completed during the quarter, but it's also attributed to ongoing efforts to streamline efficiencies in support and installation services through continued improvements in our products and our processes. Due to a record quarter of deployments and new bookings in the quarter, we continue to grow the value of our contractual backlog and total contract value of signed agreements pending installation. At the end of the quarter, this collectively totaled just over $20 million. Of this amount, the company's contractual backlog grew to $9.5 million, which has more than double our contractual backlog from last quarter Q4. Of the $9.5 million of contractual backlog, approximately $3.9 million or 41% of the backlog is expected to convert into revenue over the next 12 months as we complete our obligations over the duration of our customer's respective contracts. Along with our contractual backlog, we had an additional $10.6 million worth of signed agreements which are pending installation. While the balance of this amount has not changed significantly from last year, I think it's up only maybe 2%. It's important to note that part of the reason is that we deployed a historic number of systems during the quarter and moved a large portion of the 10.4 million ballots from Q4 into revenue and/or contractual backlog in Q1 2024. Interestingly, the value of our signed agreements pending installation is comprised of a wide range of customers. Consistent with what we are seeing in the makeup of our sales pipeline about 55% of the $10.6 million is from customers within our primary target market, while the remaining amount is from a mix of customers within healthcare, education, manufacturing and other industries. We are also seeing the same trends when it comes to our contract mix with subscription contracts representing 65% of signed agreements pending installation. While deployment dates for any given customer will vary depending on the circumstances, we are expecting that the overwhelming majority to be installed within the year. What this means is that both the value of our contractual backlog and our signed agreements pending installation represent revenue that will be recognized in future periods and our leading indicators of our future revenue. Moving on to operating expenses. The company remains focused on balancing topline growth with continued – while continuing to invest and build a sustainable and scalable business that supports the needs of our customers. In the past, we've demonstrated our ability to achieve revenue growth that outpaces our operating expenses. In fact, year-over-year, we've managed to once again increase revenue while reducing expenses. However, we expect certain operating costs will start to increase in future periods as we increase headcount and invest in other initiatives to fuel the growth, the continued growth in revenue, and maintain the high level of customer satisfaction that we currently provide to our customers. Sales and marketing expenses were $1.5 million for the period, which is relatively unchanged from last year. We continue to make investment in sales and marketing teams with a focus on go-to-market strategy initiatives, including partner-related expansion and a broadening of spending on sales and marketing-related activities and events. In future quarters, we expect sales and marketing expenses will increase in response to an unprecedented market demand for our products. The company continues to invest in R&D activities to refine, improve and expand our platform solution based on our technology roadmap and feedback that we receive from customers. Costs associated with R&D were about $1.7 million for the quarter, which is actually a decrease of 19% relative to last year. This was primarily due to a large one-time expense associated with an innovative R&D project incurred during the first quarter of last year. At the same time, we have since completed some internal restructuring to streamline R&D processes, we anticipate that R&D expenses will remain at current levels or increase slightly in the upcoming quarters as we continue to deliver new and innovative products to our customers. General and administrative costs were $1.6 million for the quarter, up about 4% for the same period last year. General and administrative expenses include costs associated with manufacturing, supply chain, procurement, logistics, and other corporate functions such as finance and human resources. We expect that these expenses will remain at current levels or perhaps increase slightly in future quarters. As demand for our solution grows, investment in manufacturing and procurement will be two areas of focus for us as we ensure that we are able to satisfy the demand for our customers. Finally, moving on to cash flow. During the quarter, the company had a cash outflow of $3 million compared with $4.1 million for the same period last year. This improvement from last year is due to the continued growth and revenue quarter-over-quarter. Due to achievements made in growing revenue while containing cash-based operating expenses, the company has continued to see a positive trend for our cash used in operating activities. Excluding changes in our working capital, we continue to reduce the amount of cash used in operating activities for the fifth quarter in a row and has decreased and was $1.9 million for Q1. We plan to continue this trend in the coming quarters as we deploy more of our products to customers, which will fuel the continued growth in our recurring revenue and slow down our cash burn. In summary, I'm very excited about what we've achieved in the first quarter of 2024. We've hit several milestones across new bookings, a record number of deployments, record revenue, and consistently managing our expenses as we continue on our growth journey. We are aiming to maintain current trends as we grow the business in a balanced manner. It's an exciting time to be part of Xtract One right now, and I look forward to sharing many milestones with investors in the upcoming months. And with that, Peter and I welcome any questions that investors might have at this time. Thank you.
Q - :
A - William Maze: Well, thanks, Karen, and thanks, Peter. We received a number of questions from investors. Let's try and answer as many of these as we can in the remaining time we have. The first question relates to the typical size of a contract. The question is, can you please provide more information about the size of a typical contract you're now realizing? Are new contracts, which are being won similar in size to those in the past?
Peter Evans: Yes. So thanks, Will. I always love the Q&A portion of this because we can kind of get into the meat and potatoes of business and kind of let our hair down and talk about specific issues. So in general, we are definitely seeing an increase in deal size. Our investors might recall on earnings calls from maybe one and a half to two years ago that we talked about how customers were opting to start small with small initial orders. Nobody wants to flash cut a whole arena to something that's new, whether it's us or competitors you name it. So normally, people do find a pragmatic matter. And so what we've seen though is with more and more solutions that have been deployed, there's more and more places to the customers, they see the environment, they see the solution, they see the success, and they are moving towards more larger contracts. So to answer the question, in the past, we might have averaged two to four systems per typical contract. Today, we're seeing deals worth averaging north of 10 systems, and we've won numerous multiyear contracts in excess of $1 million. So we're definitely seeing the deal size grow. And I think a lot of that comes to sort of what we talked about earlier, that flywheel effect. The more referenceability, the more people who are advocates for us, the more happy customer you have, that word gets out and people feel more comfortable that they're not the first pioneer adopting our solution. So some customers, though, may have a small single facility and others might have dozens of locations across North America or the world. They're looking to protect those and we're looking to serve them. We're seeing the size of those deals increase significantly.
William Maze: Great. Thanks, Peter. Next question is regarding gross profit margin. And investors ask, can you please elaborate to a greater extent on what is included in cost of sales?
Karen Hersh: Sure. I can answer that question. Certainly, on the revenue side, we include our full solution, which is the revenue that comes from the hardware, the software, the support and all the professional services. At the same time, as the person asking the question, what cost of sales goes with that? Well, obviously, there's a cost to manufacture the product, the hardware itself as well, we capture the costs associated with delivery and installation of the product at the customer's facility. And then, of course, finally, we have to account for the cost to support the customer over the duration of the contract. So in essence, the cost of sale is a combination of material and labor. And I think it's important to note that we do match our expenses with our revenues. So when you have a situation like an upfront contract, what you end up doing is you're recording more of the revenue upfront and you record that hardware cost at the same time. Whereas conversely, on a subscription contract, what would happen is you would recognize that revenue evenly over the life of the contract and at the same time, we recognize that cost of the hardware over that same period. So we're doing a proper matching of the revenue and the expenses. So hopefully, that answers your question.
William Maze: Great. Thanks, Karen. Next question is a bit of a follow-up to that actually. Someone else is asking, do you expect the future margins will be consistent with what was reported during this quarter? What is the company doing to maintain or increase margins?
Peter Evans: It's a great question and I appreciate this question because we experienced very healthy margins. If anyone is familiar with the hardware-driven industries like ours, it's unheard of typically to see such high margins. And I think that speaks to a lot of things about the way we built our solution. But there are things that we're going to do to continuously improve those overall margins in the near and longer-term. First, we've made significant steps and strides in creating a product which is very much an out-of-the-box experience. It's easy to install. It's easy to maintain. It's self-diagnosing. And so these installations themselves become much more efficient, as simple as plugging in a toaster per se. At the same time, we have introduced many improvements to the product, both from a hardware and a software point of view that will improve the ruggedness of the product as well as features that make it that much more self-diagnosing. So it makes it that much easier for a, let's say, less technically competent individual to serve and solve any problems that may occur in the field. The primary thing, though, is we've built it in a ruggedized manner. So it doesn't have problems in the field. Unlike other competitive solutions, it doesn't need to be calibrated every month or every week or reboot it every single day. And so that itself makes it much more efficient for our customers, but also efficient for us. If there are problems, we can solve those remotely more often than not. And so you reduce the cost of actually having to go and physically address a problem as is common with many physical products. As we scale the business, we're going to see cost improvements also as the cost per manufacturing of the units goes down with volume. So there's another secondary contributor to the overall cost for the improvement for the business and the margin improvement. Longer term, we've got a road map that's going to continuously introduce more high-value software features and functionality on top of the existing platform that will provide great value for our customers and thereby increase our overall revenue as we stack more and more software value on top of what we're doing already with a SmartGateway for a given customer. So considering the software-based nature of these kinds of services, they are much more high profit and therefore, going to be accretive to increasing that profitability. We do expect there's going to be some fluctuations, though, quarter-to-quarter. They'll be very dependent on the types of deals we do, upfront versus subscription and the overall mix of the business at any time. As the business volume increases, we'll start to see those fluctuations smooth out over time along with improving the overall profitability. So overall, the key takeaway is that we're driving a highly efficient business model with great profitability right now sitting in sort of the mid-60% gross margins, right, which is very strong for a hardware/software company, but we're going to continuously improve, so we can continue to drive that profitability.
William Maze: Thanks, Peter. Next question comes from Mike Latimer from Northland Securities. Mike is asking what new verticals could emerge quickly for Xtract One?
Peter Evans: Well, that's a great question. It's always good to hear from Mike. Enjoyed meeting him in Atlanta. But I got to change Mike's thoughts here like what new verticals could emerge. They've already emerged, and we're already in them. And in verticals like healthcare and like schools and manufacturing and distribution, we've got multiple customers, which now creates a critical mass of referenceability, case studies, testimonials, experience and these sorts of things that start driving more and more business in those market segments. So I would no longer say that we're just emerging into those segments. I think we've established our beachhead, and we're moving very, very quickly. Specifically, manufacturing, distribution schools, healthcare, each one of those, we have announced customers like stalwarts like Kia and others. Our approach to all market opportunities, our approach to these market segments like all the market opportunities, is we've been winning key accounts in each market segment that provide that great reference. With that foundation, we then get the case studies, the references and that advocacy that drives up flywheel. And that started to further accelerate our sales, which we believe will further perpetuate the growth that we've seen this past quarter and this past year.
William Maze: Great. Thanks again, Peter. Next question seems cash flow seems to be top of mind for investors and analysts. So an investor is asking here, can you please provide more information on the company's time line to cash flow breakeven?
Karen Hersh: Sure. I'm happy to talk about that. I think the shorter answer is it depends, and I've said that before, we're making continual improvements to reach a point where we're cash flow neutral. The model works. We continue to win new customers, we're deploying more systems, we continue to grow our recurring revenue. And I think we've shown that we're growing that revenue and outpacing our expenses nicely. So all of this points towards a reduction in cash flow burn, and we're getting towards – moving closer towards that cash flow breakeven and neutrality as we continue to make new wins and new contracts. At the same time, we're trying to grow a sustainable and growing business and to maintain our status as an innovation leader in the industry. And so to do so, we continue to need to invest in various initiatives, whether it's R&D innovation, whether it to expand into a fantastic opportunity in a new geography, whatever the initiative is that we want to – that we feel will ultimately help us in our goals, these are the cases where we may actually decide to accelerate spending where we see an opportunity to enter into and that could either bring a new market or a new product or something where we feel we're going to help us gain incumbency in the long run. So we will be careful about the investment that we do. We're judicious, but the ultimate goal is to increase shareholder value while helping customers deliver exceptional experiences and safer environments for their patrons and stuff. So we're staying the course in the long run, but we're going to take advantage of opportunities when they come up to keep growing our presence throughout North America and beyond.
William Maze: Thanks, Karen. Well, we've got time for one more question here. I'm going to combine several questions that have come in really on the same topic, which is what can investors look forward to, what's in store for the company. So maybe are you able to outline some near-term milestones that investors should be – expect to see over the next six to 12 months?
Peter Evans: Yes, definitely. So let's think about this in no particular order. DHS SAFETY Act award at the designation level as an improved technology, I think as we've talked about previously, we were asked to resubmit at a higher level by the DHS. That activity is accelerating. I think today, we resubmitted some questions they asked, and that is moving very, very quickly, and I'm very pleased with the progress. So based on that accelerated activity, I think we're going to see a positive result very soon. On the TSA, we continue to work with the TSA to further solidify their work. Third-party validation has always been very important to me and our organization. Having the most secure organization in the world continue to work with us to validate our solution and demonstrate that it actually works. It was not just marketing fluff is very important. Expanding our partner reseller base. As we talked about earlier, the product has now been designed in a manner where it has a much more simplified out-of-the-box experience, no need to calibrate it monthly, weekly or reboot it daily, like some other products out in the marketplace. It's simple to set up, simple to support. And so this is the perfect time to be investing in the partner network to scale our business across many fronts, both in terms of selling on the upfront side as well as support of the backside. We talked about this previously. It's an objective of the business that we're going to double manufacturing capacity by calendar Q1 2024 and then double again by the end of our fiscal Q4 to serve the demand that we're seeing right now and the pipeline that we've built and the engagements that we have in place. Or said another way, we're going to continuously keep growing in order to serve that demand and stay just ahead of the expected contracts that are currently in front of us. Let me see, fifth one, moving bookings to backlog and revenue as fast as possible. Where we can, we want to convert those bookings backlogs as we saw before. We did a great job in this quarter of moving bookings to revenue and then replenishing that bookings backlog again. So we keep on repeating. Let's build that up and serve it, build it up and serve it and convert to revenue as fast as we can. So those are the things that immediately come to the top of my mind, Will. Obviously, there's a lot more objectives, but those are the ones that strike me as things we're going to continue to do in the short-term.
William Maze: Great. Thanks, Peter. And so Peter, Karen, that was the final question that we have time for today. Before the presentation ends, is there anything else that you would like to leave the investors with today?
Peter Evans: Well, I guess the first thing is, Will, I think we saw 255 submitted questions or groups of questions. That's a lot. I'm very pleased that we saw a broad mix of questions coming from the analyst community as we continue to build our relationships with the analyst community. You mentioned Mike Latimer earlier in the call as an example. And so getting the value of what we deliver to our customers and the outcomes we deliver in front of the institutional investors is very important to us. So I'm very pleased with the number of questions that came in. We can't answer them all though. And there was a lot of questions that were very associated with the metrics of the business. Some of the things that Karen referenced earlier today, like our gross profit. We get questions about the numbers of units in X and Y and Z. As we continue to stabilize the business, grow the business and create much more predictability in the business, we will continue to enhance how we present that information, particularly to the analyst community. It's been a great quarter. I'm not sure what more to say other than the numbers speak for themselves, and we continue to see a lot more progress and a lot more acceleration, and a lot more momentum. And it's a wonderful time to be in this business right now. I could be happier with the performance of the business, and I'm loving everything I'm doing right now as part of this company and the outcomes that we're delivering for our company. Revenue, booking, contractual backlog, cash flow, we all saw significant and meaningful improvements from the last quarter, and I don't think that is going to stop at all. So with that, I want to thank all of our investors. I want to thank all the employees. I want to thank our customers. And, of course, Will, it's always great to have these conversations. So thank you for your time leading the conversation today.
William Maze: Thanks, Peter, Karen. Thank you again, everyone, for joining today's earnings call. And the recording, as mentioned early, will be available on Xtract One website shortly after we conclude here. If you have any additional questions that have not been addressed on the call, please feel free to e-mail us at xtract1, as xtract, the number 1, @rbmilestone.com. This concludes today's call, and I hope everyone has a great day and a great holiday season.